Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Sonus Networks Fourth Quarter and Full Year Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, February 20, 2014. I would now like to turn the conference over to Patti Leahy, Vice President, Investor Relations. Please go ahead.
Patti Leahy: Thank you. Good morning, everyone. Welcome to Sonus Networks Fourth Quarter and Year End 2013 Operating Results Conference Call. Today's press release, prepared remarks and supplementary financial and operational data have been posted to our IR website at sonus.net. A recording of this call will be available there later this morning as well. During the call, we will also be referring to our presentation with supporting information. Please take a moment to locate this on our IR website if you haven't done so already. Joining me on the call today are Ray Dolan, President and Chief Executive Officer; and Mark Greenquist, Chief Financial Officer. As shown on Slide 2. Please note that during this call we will be making forward-looking statements regarding items such as future market opportunities and the company’s financial outlook. Actual events or financial results may differ materially from these forward-looking statements and are subject to various risks and uncertainties including, without limitation, economic conditions, market acceptance of our products and services, the timing of revenue recognition, difficulties leveraging market opportunities, the impact of restructuring activities, and our ability to realize the benefit of acquisition. A discussion of these and other factors that may affect future results is contained in our most recent form 10-Q filed with the SEC and in today's earnings release, both of which are available on our website. While we may elect to update or revise forward-looking statements at some point, we specifically disclaim any obligation to do so. During our call, we will be referring to certain GAAP and non-GAAP financial measures. A reconciliation of the non-GAAP to comparable GAAP financial measures is included in our press release issued today, as well as in the Investor Relations section of our website. With that, it's now my pleasure to introduce the President and Chief Executive Officer of Sonus, Ray Dolan.
Raymond P. Dolan: Thank you, Patti, and good morning, everyone. I'm very pleased to report strong fourth quarter and year-end results. We've made great progress and we hope the presentation that Patti referenced will help make that progress abundantly clear. Let's move to Slide 4. I'd first like to recap the news announced yesterday, which is that we have successfully closed the transaction with Performance Technologies, or PT. We're excited about this deal for several reasons: First, it substantially expands our addressable market. The diameter market is projected to grow at a 42% full-year CAGR, reaching nearly $1 billion in 2017. Nearly all of this market opportunity is ahead of us, combined with our SBC TAM, addressable market is expected to increase by 50% to nearly $3 billion in 2017. Second, it's strengthens our virtualization strategy, which is directly in line with a current architectural shift taking place toward NFV. We plan to expand and diversify our product portfolio with an integrated, virtualized diameter in SBC solution. And third, this acquisition accelerates our mobility strategy by adding Diameter Signaling capabilities that are required in all-IP, IMS-based 4G/LTE networks. Let's now turn to the highlights of the fourth quarter and full year on Slide 5. As discussed with you during our quarterly calls throughout 2013, we focused on 4 key metrics that we thought would be foundational to our continued success. Those key metrics included SBC growth, customer growth, enterprise and channel growth and achieving full-year non-GAAP profitability. I'm very pleased to report that we firmly delivered on each of these commitments. And let's take each in turn on Slide 6. Our SBC revenue grew a healthy 48% year-over-year. We won an unprecedented 670 new customers in 2013, many to our new channel initiatives. Today, about 80% to 85% of our new customers in any given quarter are buying SBCs from us, a trend that has been consistent throughout 2013. Our channel and enterprise efforts clearly paid off this year. Recall that our channel program, Sonus Partner Assure was only launched towards the end of 2012, so these results in 2013 are very encouraging. 27% of our product revenue was derived from the enterprise segment, and 20% of it came through the channel. Now let's turn to Slides 7 and 8. I'm particularly thrilled to show you the progress on these 2 slides, which demonstrates a key inflection point for Sonus. Let me explain why this is so important. When I joined Sonus just over 3 years ago, we were a gateway company, with an aspiration to enter the SBC market. Today, we are a SBC company. And from this point forward, we build off that platform to become increasingly strategic to all of our customers and partners. We are no longer transforming Sonus, we are transformed. Furthermore, just think about this mathematically for a moment. For 3 years, we've had to drive our growth engine to scale, while absorbing declining revenue from our core business. Mathematically, that is a huge headwind for top line revenue. Crossing the 50% mark with our growth engine, that headwind now becomes a tailwind. While our revenue growth implied in our guidance is still modest, I'd expect that will become far more substantial, as we continue to focus on our SBC and diameter growth, while managing the remainder of the gateway market. And turning to Slide 8. I want to leave you with this forecast. We expected for the full year 2014, for the first time ever, more than 1/2 of our total revenue will come from our SBC business. Our progress to date gives me strong confidence that we can quickly respond to changes in the marketplace and gain share. Turning to Slide 9. You see our SBC product portfolio. We are second to none on both the breadth of our SBC product, as well as the integration in the Lync environment. We launched our software version in Q4 and we are pleased to report that we've already been booking orders. We will be driving to a full cloud scale out in 2014, positioning Sonus as the leader in SDN with the only common code base, software SBC. This is an incredibly strategic point of differentiation, given the trends toward cloud architectures that are really the underpinnings of the drive to SDN. Additionally, we will be announcing more innovation next week, while at mobile world congress, so please stay tuned as this innovation accelerates further. Let me provide some context around our SDN strategy, and we will expand on this during the upcoming Investor Day in March. SDN is really all about re-architecting the stack. Unleashing a cloud-based intelligence layer to control what is quickly becoming a programmable IP transport layer. Sonus was born for this mission. Think about this, the day we designed our first Gateway, we set out to extract voice as an application before the word application even meant what it does today. And to allow that application to run at carrier grade over an IP transport layer. That's what we did for voice, and we did it with an architecture that uses a policy engine, we call it a PSX, that manages the intelligence required to configure routing tables and protect the quality of service expected for voice. Voice was the only real-time application that existed, so we were a voice company. But in fact, we were a real-time communications company from day one. So if the world moves to things like WebRTC or real-time communication, the puck is coming to us. We couldn't be better positioned, having massively scaled the real-time networks, using a cloud friendly architecture of policy overlaying the transport layer. We were ready for cloud-based architecture for real-time communication before the word cloud meant what it does today. So when I state that I have never felt like I had a better hand commercially in my life, despite almost 3 decades in the communication sector. I'm telling you that Sonus is ideally positioned to help global Tier 1 service providers, as well as enterprises, make this critical transition to session-based, cloud-based communications. As the fixed and mobile worlds collide, and make no mistake, they are colliding. Fixed mobile convergence will further play to our strengths, and we are driving our technology strategies in a way to leverage that trend. We're also positioned to help our partners, so let's turn to Slide 10 and discuss just a few of those. We showed some examples here of companies that we are currently working with to drive this new layer of intelligence, both up this stack to Lync and broad cloud, and down into the IP transport layer with Juniper. Going forward, we hope to establish even broader partnerships throughout the new cloud stack and as we build those relationships, we will keep you posted. Let's turn to Slide 11. Sonus is fulfilling its goal to be an industry leader. Our financial, technological and commercial progress is becoming clear and it's helping us attract world-class leaders, like these to our leadership team and board. Mark Greenquist joined us as our CFO in November. He brings a unique blend of financial savviness and commercial instincts that makes him a valuable part of our senior leadership team. As you saw on Tuesday, we also announced 2 new board members, Matt Bross and Dick Lynch. Matt and Dick have been CTOs at several of the world's biggest and most advanced Tier 1 service providers. They bring a wealth of technological and commercial insight that will be invaluable to Sonus, as we extend our growth strategy into mobile, and continue to build our relationships with Tier 1s around the globe. Pam Reeve joined our board in August and has finally, honed commercial instincts and has already proven to be invaluable addition to our board. I've said since the first day I joined that getting the right people on the bus was a priority for me leading this company. We've done this methodically over the past few years, bringing in the best and brightest talent we can find. I feel very good about the talent, we've assembled and believe there's no better group out there, who can successfully deliver the future of cloud-based communications. Before handing off to Mark, I thought it would be helpful to look at the framework we use, when considering how to maximize shareholder value. Slide 12 shows a framework that starts with a healthy business that's generating cash, is profitable and has the ability to thoughtfully determine, how to best put that capital to work. We can start by checking the box that Sonus is now, indeed, generating cash from operations, and we expect that this will be the case going forward. We have reached this point, while simultaneously investing in our business to maximize our organic growth potential. We've been able to reallocate spending from the core business to growth areas, while maintaining a fairly steady cost structure. We've also looked outside the company to acquire businesses and technologies that would help accelerate our growth. NET and PT are 2 great examples of this, and we'll continue to consider opportunistic growth acquisitions that meet our strategic areas of focus. Finally, when we look to maximize shareholder value, we have returned capital to our shareholders currently in the form of the stock buyback. This has also allowed us to begin reducing the concentration of our largest shareholders in an orderly fashion. We believe the continued solid execution, coupled with prudent disciplined deployment of capital, is the right way to go about maximizing shareholder value. So with that, I'll hand off to Mark for more discussion on the quarter and outlook. Mark?
Mark T. Greenquist: Thanks, Ray, and good morning, everyone. Before diving into the details, I've been asked on many occasions by investors and analysts, some of you on this call, what was behind my decision to join Sonus. So allow me to briefly provide some color for you. To start, I've known Ray for a number of years now, and have been watching closely his journey at Sonus. I also have previously worked with Todd Abbott, when we were both at Symbol Technologies. So I thought, I had a good handle on 2 of the key people that I'd be working closely with. I had an opportunity to meet others in the leadership team and board and my observation is that this team has done truly heroic job transforming Sonus, reaching the key inflection point, as they now have where the growth engine is larger than the core business, tells me that the future is indeed bright for Sonus. In my opinion, they remains a disconnect between the company's current market value and the real upside potential, which I believe exists. So in short, I'm extremely happy to be the newest member of Ray's management team, and I'm really looking forward to helping take Sonus to the next level. So now turning to Slide 14 for the financial highlights. In the interest of time, I'll keep my remarks, primarily focused on the fourth quarter of '13 compared to the fourth quarter of 2012. Total revenue for the fourth quarter was $76.2 million, up 1% from the fourth quarter of 2012. And while that might not sound like much growth, if you look underneath, you'll see really strong progress on the SBC side of the business. SBC product revenue of $32.2 million, grew 56% compared to the fourth quarter of 2012. And SBC total revenue, including products maintenance and professional services was $41.6 million, it's up 59% over the same period. Before I go into further details on our financials. I would like to point out that the following are non-GAAP numbers that excludes stock-based compensation, acquisition cost, structuring charges, impairment charges, incremental depreciation due to acquisition accounting, as well as the write-offs and amortization of intangible assets. Fourth quarter total gross margins were 64.7%, it's 570 basis points higher than fourth quarter of 2012. And for the full year, we experienced a 360 basis point improvement in total gross margins to 63.6%. While gross margins may fluctuate quarter-to-quarter, based upon software content and product mix, we still expect gradual improvement, as more of our revenue comes from standard scalable SBC products, which do not bear the burden of custom and complex customer requirements, as characterized by our media gateway business. Operating expenses for the fourth quarter were $42.8 million compared to $42 million in the fourth quarter of 2012. With some increased compensation cost and higher sales commissions accounting for the year-over-year increase. Net income for the quarter was $6.8 million or $0.02 per diluted share compared to net income of $1.8 million or $0.01 per diluted share in the fourth quarter 2012. And cash and investments were $268 million, that's excluding the impact of our 4Q share repurchase program, and $246 million, including that share repurchase program made during the quarter. Our share repurchase activity for the year is spelled out clearly in today's press release. And finally, balance sheet trends are healthy with accounts receivable and inventories declining year-over-year, despite higher revenue. Slide 15, just quickly shows a graphical view of some of these highlights that I just spoke to, and as you can see, the momentum in our business is very clear. Let's turn to Slide 16 for our first quarter outlook. Revenue for the first quarter from stand-alone Sonus is expected to be approximately $67 million, including the partial impact of PT. We expect total company revenue for Q1 of approximately $70 million, that's up 11% over Q1 2013. SBC total revenue for the first quarter is expected to be approximately $33 million, a 10% increase over Q1 '13. And gross margin for the first quarter, including the impact of PT, is expected to be approximately 63%, up 200 basis points over Q1 '13. OpEx is expected to be approximately $44 million. As is typical, the first quarter is the high mark for OpEx in any particular year, given the added burden of each of our related benefits in taxes and the added cost of key industry events and conferences, such as our Investor Day, as well as our upcoming participation in Mobile World Congress, both of which occur in the first quarter of this year. So non-GAAP fully diluted EPS is projected at $0.01 loss, both with and without the impact of PT in Q1. And just a note, our diluted shares outstanding are projected to be $266 million prior to the impact of any potential share repurchases in the first quarter. Turning now to Slide 17. Our full year revenue for Sonus, on a stand-alone basis, is expected to be roughly $285 million. With PT, we expect total revenue to be approximately $300 million that would be an 8% increase over 2013. PT's contribution is comprised primarily of SS7 Signaling revenue, as well as a small contribution from Diameter Signaling, which we estimate to be about $3 million. SBC total revenue is expected to be approximately $165 million or $168 million, including the diameter-only revenue from PT, and this represents an increase of 29% over the prior year. EPS, on a stand-alone basis, is expected to be approximately $0.06 for the full year of 2014, including PT, we expect EPS of $0.05 for the full year, which is consistent with the outlook, we provided, when we announced the transaction of $0.01 to $0.02 dilution for the full year 2014. Finally, fully diluted shares outstanding are expected to be 264.5 million, assuming the remaining share repurchase is completed in 2014. I'll now turn it back to Ray for his closing remarks. Ray?
Raymond P. Dolan: Thanks, Mark. Let's wrap up starting on Slide 19. A lot of work remains ahead of us to demonstrate meaningful operating leverage, which I'm convinced we will do over time. As I stand back and evaluate our progress, I see a very different company today than I did 3 years ago. I see a company that has delivered consistent strong SBC growth, in spite of the steep hill we're climbing from a declining Gateway business. I see a company that is established a vibrant channel and it's extended, its go to market to the enterprise segment, when many were skeptical it could be done so successfully. I see a company that has started to make real financial progress and lived up to its commitment to deliver non-GAAP profitability for the full year. And, while admittedly, just a start, it's an important pivot point for company that is, in its early days, won the commercial battle but lost the war bringing that commercial success to the bottom line. Today, we are poised to do both. I also step back and see a company that's becoming increasingly strategic to its customers and partners. And this is perhaps the aspect of our transformation that I am most excited about. Today, we are engaged in a strategic way with our customers that is almost unprecedented. I attribute this in large part to tenacious focus that our team has demonstrated in delivering the market's broadest, most innovative portfolio and road map, working in concert with our customers to deliver the industry's next generation of virtualized cloud-based networking. That concludes the prepared remarks for this afternoon, and I'll now open the call up to questions. Operator?
Operator: [Operator Instructions] And our first question comes from James Kisner of Jefferies.
James M. Kisner - Jefferies LLC, Research Division: So just jumping in the questions here. So I'm just wondering if you could give us any texture on what drove the session border controller strength in Q4. Is it primarily enterprise? Is it both service provider and enterprise? And I'm just kind of wondering too, as you look out into 2014. I know, you're not going to guide those segments, but can you just intuitively help us, is it really mostly just the channel and enterprise? Is that the primary driving factor? Or is service provider also contributing? Is VoLTE at all in these numbers?
Raymond P. Dolan: James, it's Ray. Let me answer the last part first. No, VoLTE is not in these numbers yet. Happy to talk about it more in 2014. On what makes of the strength in Q4, it is both. We had a strong quarter in the channel. We see Lync accelerating, and we see enterprise adoption of SIP trunking globalizing. Those were trends already in 2013 and they're continuing. In fact, I think, they may be strengthening. We are tracking that very closely. But we also saw strong growth in our service provider segment, and I'd expect that to continue into 2014. So I think this is clearly both sides of the SBC market segments as we know them now, continuing to be strong.
James M. Kisner - Jefferies LLC, Research Division: Is there any way for you to tell, how much share gain may be helping you here?
Raymond P. Dolan: Yes. It's complicated issue on share because the market numbers are moving around quite a bit. There's 3 primary analysts that we're tracking and their numbers is actually a fairly diverging. VoLTE is starting to show up, which is clouding the numbers. So if you take them down in segments, we are clearly gaining share in the enterprise SIP trunking market. We are clearly gaining share in the service provider peering and SIP trunking market, but we're not present in 2013 numbers in any VoLTE deployments, and some of those were large enough and were done over a period of, say, 18 months that in the aggregate, were flat share, but we are gaining share in the places that were present. Does that make sense?
James M. Kisner - Jefferies LLC, Research Division: Absolutely, absolutely. And just let me get one last question, as just more strategic, Facebook just bought WhatsApp. It just seems like on the face of it that could perhaps to be a catalyst for operators to really kind of, I guess, get fearful and try to invest and accelerate IMS-based networks to drive that you need to any advantage. But I was wondering, what are your thoughts on the WhatsApp acquisition, both positive and negative implications for Sonus?
Raymond P. Dolan: Sure, James. One is, wow, no disclosure on revenue, but $19 billion, $3 billion of which go to the founders in our shoes, good job. Congratulations to them. But strategically, I think, it continues to play to the theme that the capital markets are completely enamored by the notion of social mobile cloud, and the hockey stick of growth and the notion that, that's going to be a universe that monetizes advertising and users in exchange for free service. And that the rest of the exercise of actually carrying that content and communications layer is either going to be driven by massive deployments in fiber by companies like Google or they're just going to run over dumped pipes by the service providers. So that's kind of like this proceed notion that's out there. However, I will say to you that the reality is probably going to play out differently and there is a role for Sonus to meet in the middle of all those notions as this plays out. It's going to probably take several years for this to become obvious, but it feels obvious to me right now that applications are going to ride over the top of that programmable IP transport layer. Layers like 3 and below are going to look more and more like transport and there will be an intelligence that lives and gets extracted from that, and lives in the cloud in software. And that, that's actually were Sonus is focused. Now, as those players like WhatsApp that are really doing IM right now, which is not necessarily a real-time app, but as they move closer and closer to real time, they will become increasingly obvious value to that intelligence layer for monitoring and managing that real-time communications. So those trends are awesome for us, but frankly, right now, they're a little bit fuzzy and cloudy, and it's just going to take some time for people to rationalize that. Okay?
Operator: Our next question comes from Subu Subrahmanyan.
Natarajan Subrahmanyan - The Juda Group, Research Division: I have 2 questions. Ray, can you talk about, as you mentioned, some of the VoLTE numbers are starting to show up in shares, and so on. You've made some steps in that direction, including PT. If you can talk about for Sonus, when the opportunity turns to revenue, as you noted, it's not in your 2014 numbers. And then, you'd also mentioned some risk of some architectural sale related delays on the SBC site. Clearly, that did not transpire last quarter, you had a very strong SBC quarter. Can you just talk about how that is playing out in 2014, when you look at deal pipeline?
Raymond P. Dolan: Sure, Subu, thanks for your question. First one is on the VoLTE, the second one, I may ask you to restate because I'm not sure I understood your question. But let me try that first one first. I said that VoLTE wasn't in our '13 numbers. I didn't say, it's not going to be in our '14 numbers. We really don't have enough clarity to project our revenue in 2014 yet, on VoLTE, but we are active. We do believe that the PT transaction that we've closed this week, will help drive the diameter piece and will continue to drive to our SBC piece greater and greater VoLTE traction. We'll see how that plays out, but I didn't make any statement. I want to make sure that's clear on the 2014 piece of VoLTE. The point that I was trying to make is, that's it making market sizing and forecasting a little bit challenging for the industry analysts. You have some of them that are taking up their '13 numbers, and then flattening the curve as the world consolidates around the initial VoLTE deployments, and then others are starting to see that and are projecting it to continue. And we're just going to follow those trends, but strategically and operationally, we are engaged in the VoLTE opportunity. We do think that 2014 is our time. And then beyond that, '15 and '16, as we get more and more strategic with our Tier 1s. Okay. So I hope that's helpful to the VoLTE question. I'll pause there, make sure, you don't have anything else on that and then ask you to restate the '13, '14 issue, please.
Natarajan Subrahmanyan - The Juda Group, Research Division: Understood on the VoLTE side. On the SBC side, I think, you've made some comments on last quarter's call that you are seeing carriers make some architectural decisions that it may cause some longer sales cycles on SBC. And then you mentioned that clearly didn't impact December, but I'm just wondering, how those architectural decisions are playing out, how you see that playing out in 2014?
Raymond P. Dolan: Sure. So the architectural decisions to go towards a SIP architecture and drive their cloud-based solutions using our SBC. Those are long sales cycles by their nature. I'm trying to recall the exact comment in Q3 into Q4. And the way I would position is this, I'm always concerned that we don't want to forecast the timing of architectural decisions for our customers. But as you see in our Q4 results, we are still seeing good strength. We forecast good strength in Q1 in our SBC. That is both the enterprise transactional side of business, which is doing well, as well as service providers. So I don't have much to say on that. I am pleased that we are winning more Tier 1 business, continuing to take down orders from existing Tier 1 customers. I think, frankly, that despite the market's desire early on in my tenure for us to kind of shed the gateway business, potentially even sell the gateway business and just focus on a growth engine. We, as a team, are being rewarded by some of our largest customers by being faithful to that gateway side of the business, carrying them through the maturation of their voice business, and using the underpinnings of that architecture to drive their transition to SIP and SBC. And so I think that process is a healthy process, and it will play out over 2014 with our existing Tier 1s, as well as new Tier 1s, that are driving there, either on a 9,000 platform brand new or on our 5,000 series platform or anything else that we may launch going forward.
Natarajan Subrahmanyan - The Juda Group, Research Division: And final question on the financial side. Gross margin, I think you mentioned, you expect kind of a general moderate increase. And just -- what are the assumptions for legacy product revenue and service in your guidance for the mix.
Mark T. Greenquist: Yes. So I think -- this is Mark. I think, the legacy product side is going to continue to decline pretty much in line with what we've been seeing over the past year or so. So we are well up into double-digit. I think on the maintenance side, though, that just has been sort of the slowly melting ice cube and kind of expect that to continue. So now having said that, just one note. I mean, when we add PT results into our 2014 results, effectively what we'll do is we'll take their SS7 Signaling revenue, and we'll add that to the core side, the legacy side, as you called it. And the diameter will put into the SBC side, so that was reflected in the guidance that we gave you. So the addition of the SS7 Signaling revenue, which if you just do the math, it's around $12 million number for 2014, that will get added to the legacy product side, so that's going to moderate somewhat the year-over-year decline that we see there. But the kind of underlying stand-alone Sonus legacy product, I think, it's going to continue to decline pretty rapidly. However, off of an increasingly smaller base, so as Ray pointed out in his remarks, just mathematically on an absolute basis, that's going to be a smaller and smaller drag on revenue growth year-over-year, as we go forward.
Operator: Our next question comes from Mike Latimore of Northland Capital.
Michael Latimore - Northland Capital Markets, Research Division: Ray, you mentioned, you saw a Lync related revenue accelerating, can you just elaborate on that a little bit? Is it just more customers coming in? Or is it current customers fully expanding and replacing your PBX across divisions? Just maybe a little more color on that would be interesting.
Raymond P. Dolan: Sure, Mike. This is Ray. The Lync environment, if you will, is globalizing nicely. There's a lot of strength all around the world, particularly in the EMEA region. And we are seeing both modest incremental revenue from existing accounts, as well as some strong new account adds. The good news is that the channel has been in place long enough. We are driving to a greater and greater traction in the channel. We're picking up channel partners nicely that are moving beyond just an Oracle-Acme relationship, so that's very healthy for us. We are also seeing though that there appears to be an inflection point in the awareness of unified communications, among some large multinationals that it feels like, to me, in the last 6 months. People have gone from thinking this was interesting to it's now intuitive to CIOs and to senior executive suite that BYOD has been around long enough. People understand what unified communications looks like on a smartphone. It means, running all your apps simultaneously, and doing whatever you want and they want that to transition between an enterprise environment, a home environment and the mobility environment, that's why fixed mobile convergence is driving. So for all of those reasons, Lync is strengthening. Microsoft is putting a lot of wood behind that. In fact, we're active today in the Lync conference that's still going on, this is the last day of the Lync conference out in Las Vegas this year and we're one of their platinum sponsors.
Michael Latimore - Northland Capital Markets, Research Division: Great. And then on the services side, what's the rough split between maintenance and professional service events?
Mark T. Greenquist: Oh, I mean, the vast majority of the services side is the maintenance. I want to say, just off the top of my head, it's going to be close 70% -- close to 80% in maintenance on the services side.
Michael Latimore - Northland Capital Markets, Research Division: Okay. And then you talked about, about $3 million, I believe of diameter revenue this year. Can you just elaborate a little bit on that? Is that 1 or 2 customers? Or that's multiple customers? Or are there any Tier 1s in the mix there? Are you the exclusive vendor? Just a little bit more color will be helpful.
Mark T. Greenquist: So I think, we're being -- we are being cautious on our guidance there. I mean, we just completed the transaction. I think on the go-to-market side, we do have some work to do there with regard to augmenting and strengthening the team. I don't have a lot of color on like what's going to cost the $2 million to $3 million, I mean I suspect that, that is going to be a number of smaller deals. Obviously, if there was like one bigger deal, it's going to change that dramatically. But we're not at least, where we are right now kind of calling that in our guidance. You can rest assured with sort of trying to find one of those and do better. But like, we're given where we stand right now, I think, this is going to be get PT integrated, get the team in place and start to get up the pace. And as we said, when we the announced the deal, we really think that that's starts to begin into a more meaningful way in 2015 as opposed to 2014.
Michael Latimore - Northland Capital Markets, Research Division: Sure, sure. And just one last one, what was the book-to-bill over one on the quarter?
Mark T. Greenquist: I'm sorry, say that one more time? Book-to-bill?
Michael Latimore - Northland Capital Markets, Research Division: The book-to-bill ratio?
Mark T. Greenquist: Yes, Q4 was a very good bookings quarter, as it typically is because that's when we're doing the maintenance renewals bid; even adjusting for that, it was a good bookings quarter. And frankly, we took that momentum also into the first quarter as well. So when we look at the first quarter, we're actually looking more linear than we typically would because we came into the first quarter with a good backlog.
Operator: Our next question comes from Paul Silverstein of Cowen and Co.
Paul Silverstein - Cowen and Company, LLC, Research Division: My apologies if you've already addressed some of these, but Ray, I'm hoping that you give us some new insight. I appreciate that you don't have any VoLTE revenue yet to disclose and sending a diameter, but can you give us any indications, some sense for how many wins, if any, you have on both VoLTE and the diameter by way of PTIX? Have they made meaningful penetration strategy at this point? Or is it still largely on the comp? And I've got a couple of follow-up questions.
Raymond P. Dolan: Sure, Paul. On PT, they've had a few wins, but I would -- if I had to choose between meaningful and on the comp, I'd call it on the comp. This is a company that had been embedded in SS7 networks had moved their product portfolio to diameter, but really hadn't fed the go-to-market side. And as a result, haven't had the opportunity or the capital to really drive that. We can do that together, and we will, and we look forward to talking more about it in '14, but for now, I'd call it on the comp, okay?
Paul Silverstein - Cowen and Company, LLC, Research Division: And do you need -- are the products there? Or do you need to do some lifting similar to what was the case, when you were arrived at Sonus on the SBC side?
Raymond P. Dolan: It's nothing like when I arrived at Sonus. PT's products are there. Now they need to be continued to be developed, as you would expect, that was in their plans organically anyway. And then, they need to be virtualized quickly, and we're going to focus on that, so that we can combine them with SBC and create a unique solution in the marketplace, and really lead the world to that intelligence layer, which in my opinion, has to be both a session layer, as well as the signaling layer. That's the power of this transaction.
Paul Silverstein - Cowen and Company, LLC, Research Division: Okay. And again, my apologies if you already answered this, but with respect to VoLTE any wins yet?
Raymond P. Dolan: Nothing that we could comment on VoLTE, Paul. I think it's still early days, and so I don't want to give you the impression that we are on any verge of major breakthrough there. But I will say that the trends are very favorable to us strategically, and the majority, the vast majority of the VoLTE market, is in front of us. In front of everybody in the marketplace.
Paul Silverstein - Cowen and Company, LLC, Research Division: Okay. CenturyLink and AT&T, the CenturyLink 10% contribution to the quarter, what was the primary driver of that? Was it the SBC or was it a mix?
Raymond P. Dolan: It was a mix, but it was primarily SBC.
Paul Silverstein - Cowen and Company, LLC, Research Division: And the same question for AT&T's 10% contribution over the calendar year, was that primarily SBC?
Raymond P. Dolan: It was, I would say, a mix.
Paul Silverstein - Cowen and Company, LLC, Research Division: A mix, okay. And finally, my last question, I'll pass it on. Did you comment on the split between enterprise services side of the revenue for your SBC?
Raymond P. Dolan: We didn't break it out for SBC, but the majority of the enterprise revenue is SBC. I mean, our gateway doesn't flow to the enterprise as an end market and it certainly doesn't flow through the channel.
Paul Silverstein - Cowen and Company, LLC, Research Division: So I can use that as a proxy and figure out the rough split between enterprise and [indiscernible]
Raymond P. Dolan: We'll help you on that, and we're not trying to be cagey, Paul, but I just don't want to give you the wrong answer. But it is a fairly simple set of math because everything that's going through the channel in the enterprise. I guess, there's some enterprise revenue that could be gateway, but it's very, very limited. I'm know going through the channel load it's 100% math SBC through the channel.
Operator: Our next question comes from Todd Koffman [ph] of Concourse.
Unknown Analyst: Two quick ones. Did you say going forward, you're going to be putting the performance technology signaling product revenues in your SBC numbers?
Mark T. Greenquist: Yes, so what we'll do is they've got also a split of, what we consider to be legacy SS7 and they've got their next-gen, which is the Diameter. And what we'll do is we'll take SS7 revenue we put that in our legacy or core segment, and then we'll take the Diameter and we'll put it in the SBC. Just, so that I just want to give you guidance on our visibility, our transparency and how we'll take that $15 million that we're guiding to in '14, and where it will start to show up in the actuals.
Unknown Analyst: Very helpful. Just a follow-up. When I look at the first quarter guidance on SBC, and I sort of compare it to the last 5 or 6 quarters, SBC business is typically running around $30 million, plus or minus, and then you have this really strong calendar fourth quarter just posted a $42 million total SBC. Just -- was that, as a follow-up to Paul's question earlier, largely, just enterprise business that you filled out to channel that's linked to enterprise? Or was there something else in the December quarter in SBC that made that quarter look so strong?
Mark T. Greenquist: I think that's just typical seasonality. I mean, if you look back over the last couple of years. You're going to see that the fourth quarter is always the strongest. And we've seen the SBC revenue be the strongest in the fourth quarter, and also just as a percentage of our total revenue, it's typically the strongest in the fourth quarter. First quarter then basically goes back down and will be better year-over-year. But we'll sort of track at a lower level. We would expect then a little bit better in second and third, and I would expect fourth quarter of '14, as we've comprehended it in our guidance, to be the strongest quarter again. So, kind of a rambling way of saying, probably less complicated than what you were thinking. It's just kind of -- it's just the normal seasonality that's impacting our business.
Unknown Analyst: Okay. Because historically in the last few years, the SBC business just mathematically, year-over-year was strongest in the calendar first quarter. And now it's looking like it'll be up about 10% year-over-year based on your guidance. That's why I was asking the question.
Mark T. Greenquist: Yes, Okay. And that's fair, but like I said, I was more focused on the seasonality and in the fourth quarter. You're typically going to see SBC being strongest.
Operator: [Operator Instructions] And our next question comes from Carter Mansbach of Jupiter Wealth Strategies.
Carter Mansbach: I just had a quick question regarding the buyback. So you mentioned that the buyback is implemented. Can you tell us how many shares you bought? And how many you have left?
Mark T. Greenquist: Sure. So we had announced last year $100 million buyback program. We've bought back just under $60 million. I believe it's 18.7 million shares, and we have around $40 million left to go in that program. So it will depend on the price of the stock with regards to how many shares we end up buying. And we would expect that we'll complete that $40 million sometime during the '14 calendar year.
Carter Mansbach: All right, seems like it's been solid investment for the company so far. Keep up the great work.
Operator: Our next question comes from Steve Cohen [ph] of Provo Partners [ph].
Unknown Analyst: First, housekeeping. What was the head count at the end of the fourth quarter? And 10% customers in the quarter? And more importantly, looking forward to 2014, can you talk a bit about what the OpEx trends are going to be considering that you're heading 100-plus people from the PT acquisition? What kind of growth you anticipate in OpEx next year? Also can you give any guidance as far as the enterprise and channel contributions. Do you expect those to continue to tick upward as a percentage of revenues in 2014?
Mark T. Greenquist: Sure. So let me take those one at a time. So with regard to year end headcount, it was about 1,050, 1,060 right in there. And actually, like at the current moment in time, we are still probably right around those levels. So we've been monitoring head count pretty closely. With regards to 10% customers in the quarter, I believe it was -- help me out Patti.
Patti Leahy: Yes, CenturyLink.
Mark T. Greenquist: Yes, CenturyLink. So 10% for the year was AT&T's 10% for the quarter was CenturyLink. With regards to OpEx trends. Yes, as we go through the year, we are focused on keeping the OpEx roughly flat, that's excluding PT. And the addition of PT will add some to that, but not a tremendous amount. And over time, we would hope to absorb all of the PT OpEx into sort of our current cost structure as we did with NET, that's what the objective will be with PT. But that's -- we won't be able to do that in '14. That would be something that we will be aiming for, for '15. And then with regard to enterprise, can I hand it over to you.
Raymond P. Dolan: Yes, Steve, it's Ray. Thanks for your question. On the enterprise, it will really depend on trends. We seek continued momentum on both the service provider and enterprise, so I would expect that the ratios are going to stay in the ballpark that they're in. If we had some acceleration in any of the decisions made or some delays, we could have a quarter, where enterprise is higher or lower as a percentage of total. But somewhere in the 25% range, where we are right now, could be as high as 30%, would be a good blend for enterprise as a percentage of total. Okay? Is that helpful?
Unknown Analyst: Yes, it is. A different question. Can you talk a little bit about what you're seeing in the competitive landscape, particularly as far as Acme year after the Oracle acquisition? And also if you could talk a little about OREO codes they seem between making a lot of noise recently.
Raymond P. Dolan: Yes, so on Acme-Oracle, we are competing very vigorously there. And I feel good about how we're doing against Oracle-Acme. One, we're not Oracle. And the world loves the fact that we're not Oracle and the fact that we are easier to do business with customers and channel partners and technology partners. So I feel good about that strategically. I think that teams executing really well, and we are laser-focused. It's the only business we're in compared to other folks that are in multiple businesses and in my opinion, hopefully, not paying enough attention to the SBC market as it grows to a $3 billion TAM. I'll leave it at that. I really don't want to give into the deal-by-deal kind of dynamics, Steve. With regards to AudioCodes, I agree, they're making a lot of noise. They can make all the noise they want. We want to focus commercially. On the channel partnerships, the benefit of channel partners to carry our product and to bring our products into that part of the market, which is the low to medium end of the market, where NET compete independently, and now as part of Sonus competes with AudioCodes. And we go toe-to-toe with them all the time. I love our solution. We are continuing to compete vigorously and drive that side of the market as well. But in that case, what we can do is that we've got the broadest portfolio that's the one-stop shop for the channel, and we are going after that as hard as we can in 2014.
Mark T. Greenquist: I think also on AudioCodes, if you look what's coming out of the Lync conference, there've been comments made about Lync really gaining market share in the enterprise UC market, and we see that we believe that, that's true. Both ourselves, we feel like ourselves in AudioCodes are like the 2 leaders there in terms of that business. And so frankly, I think, we're both benefiting from Lync increasing their market share and UC. So we obviously both vying for our fair share or more than fair share of the pie, but that pie is going rapidly, so I think we're both benefiting tremendously from that.
Operator: And our final question comes from Dmitry Netis of William Blair & Co.
Mark T. Greenquist: Dmitry, are you there? [Technical Difficulty]
Dmitry Netis - William Blair & Company L.L.C., Research Division: Can you hear me now? First of all, great to see you guys get over that 50% line for the new products. Great accomplishment. And a couple of questions that I have is, if you, Ray, will just kind of refresh our thinking around the market. Both enterprise and service provider, as you've mentioned, the industry data varies and there's some that may be including the VoLTE contribution there. What is this you exclude the VoLTE business? What would be the natural sort of growth, call it, 5-year CAGR, 3-year CAGR, whichever way you want to look at it in both the service provider and the enterprise markets? How are you guys are thinking about? And I imagined you'd probably talk more about it at the Investor Day, but just give us a sense of your current thoughts.
Raymond P. Dolan: Sure, Dmitry. Thanks for your question. So if you strip out what might be early lumpy VoLTE, it's probably a market that's growing 20%. It might be a little bit more than that, it could be a couple points less than that, and it's probably a little faster on enterprise and a little slower on SP. Now when I say probably, it's because these projects could take done a fairly good gulp of capacity pause for a year. And so the data will look a lot more rational over a one-year period than it does quarter-to-quarter, okay? So, I expect that to change, I actually think it will accelerate because as VoLTE drives growth and fixed mobile convergence drives a common signaling and session layer, I think that two of them are going to come back together again and drive even greater growth in '15, '16 and '17. So the broader CAGR of say, 35% to 45% that's there for the category in general, I think it's healthy and sustainable and potentially even conservative.
Dmitry Netis - William Blair & Company L.L.C., Research Division: That's very helpful and I will imagine, if I looked at your FBC [ph] guidance for the full year, are you getting growth of 27%? You're calling the market growing at 20%, so there's certainly some market share gains, probably embedded in that guidance. Is that the way to think about this?
Raymond P. Dolan: That's not a bad simple first take to the extent, we can participate in VoLTE. And some of that -- those numbers come from VoLTE. It could be just a modest share gains to the extent that it all ends on our current place, that's fine. So that's where we go and any other questions on that, Dmitry?
Dmitry Netis - William Blair & Company L.L.C., Research Division: Just a real quick one here on -- if I still look at the session border controller revenue guidance, I think you're lumping it for the total. I mean, you're providing the total revenue contribution. Is that what we should be expecting going forward? Or are you going to at least maybe directionally guide us in terms of products and services. If you could talk about whether services maybe growing faster than their product, or in line with product growth. Give us some sense of that.
Mark T. Greenquist: Yes, sure. I think on the guidance side, we're going to stick to the total revenue. I mean, certainly as the actuals come out, we do these calls or we are more than happy to give you more color in terms of, what are the trends and what are the components that are like driving the actual numbers. But I think for guidance purposes, we're just going to stick to the total SBC revenue.
Dmitry Netis - William Blair & Company L.L.C., Research Division: Can you talk qualitative whether one gross over the other? Or is it in line for the growth of both anyway kind of...
Mark T. Greenquist: It's roughly in line for both. It's is roughly in line for both. We're presuming that obviously, the product is the driver, the attach rates will mean relatively the same, therefore the services will continue to grow at a commensurate rate. There's nothing dramatically that's changing their that's causing any kind of disconnects or anything. We see both of them growing consistently together.
Raymond P. Dolan: This is a Ray. Our current mix is fairly close to the industry mix and the trends are fairly stable, so we'll monitor that disclose quarterly, where we are in the mix. But I don't expect that to be any big surprise to our results or any, certainly, any principal driver in any changes in our results in 2014. Is that helpful?
Operator: Gentlemen, there are no further question. I'll turn the call back over to you for any closing remarks.
Raymond P. Dolan: Thank you, operator. This is Ray. I appreciate everybody's time this morning. I'm mindful of the fact that the markets are about to open, so I'll keep my closing remarks brief. But I'm very proud of this team for having made it across the chasm toward revenue growth that we will never turn back from. In the future, we are going to focus on being a greater and greater software-oriented company, to drive SDN, virtualizing our products and NFV are all very, very favorable trends to our company, to our industry at large. And so, we're going to pursue those and we look forward to talking more with you at Investor Day about what those mean to our company and to our operating model. But thanks for your time this morning, and thanks for your support over the several years for Sonus and for the team, the management team as well. Have a great day.